Unidentified Company Representative: Welcome. Presenting the team from Petrobras we have here today, Wilson Ferreira Jr., the President of Eletrobrás; Elvira Presta, Financial Vice President and Investor Relations; Rodrigo Limp, Vice President of Regulation and Institutional Relations and the new Vice President of Commercialization and Vice President of People, Personal and Culture; and Élio Wolff, Vice President of Strategy, Business strategy and participations. We inform that this video conference is being recorded and will be made available in the site of IR of the company, and will be available in both languages. If you need simultaneous translation, we have these two available in the icon called the interpretation located in the bottom of the screen, you can choose Portuguese or English. For you listening in English, the option to silence the regional audio, clicking mute or regional audio. For Q&A, we should be send by the Q&A button on the bottom of the screen. Your names will be announced, so that you can be – so that you can make the question. Should request your microphone whenever you make this, I request to activate your microphone will appear on the screen. The disclaimer, anything that said during this presentation about the business perspective of the company projections, operational targets and financial ones, they are premises of the Board of Eletrobras as well as informations that are currently available for the company. Future considerations are not guarantees of performance because they involve risks, uncertainties and therefore, they depend on circumstances that can may or may not occur. The investors should then understand that economical conditions in general and other operational activities can affect the operational results expressed in the future. Now Mr. Wilson Ferreira, President of Eletrobras that we can start the presentation.
Wilson Ferreira: Good afternoon, everyone. I'd like to greet the shareholders, the investors, analysts that work at Eletrobras that we can share the main results of our first trimester, the second that we complete here since we have arrived. We highlight here in the beginning, what are the main highlights of this quarter. Basically on the partnership, the advance that we have had in the process of acquisition of Santo Antônio Energia, the advance and acquisition of owners of 23% and then our average 92% of the company, invested BRL168 million. We're going to be able to detail here more, but it deals with one of the main companies in Brazil. So this is a very, very important data investment. The second one, second highlight here this quarter is the receiving of BRL950 million referring to the contract of transfer partnership participation in Itaipu. This is one of the preconditions of the privatization and capitalization where this asset was financed in 20 years. And now with the discount, I will speak further ahead, we'll have – we had an influx of cash of BRL9 million, which is really important for the liquidity. Another part that is really important, the transitions that we started to develop along the recent years. So we will follow here, not just the team of sales, but also the – in SAESA [ph] as a complement to that we had participation from Cemig. And with this, we now have – we have a controllership of investment BRL200 million, also of [indiscernible] hydroelectric unit and also the hydroelectric unit of [indiscernible] BRL393 million, having 100% of these plants. These plants are totally contracted and regulated. So this is not an instrument of competition. It's basically relative participation that the company has and that they can start operating these plants with more efficiency. So these are highlights in this quarter, very important quarter the continuity of the compulsory loans highlighted by some analysts that I follow in the morning. For the second quarter in a row, we have here a reduction in the stocks of provisioning compulsory loans. We still want to lower our provisions of loans, and add whatever is a benefit for the company as long as we have an agreement then we can provide liquidity. And as a counterpart, we have here a decrease in the values that were in provision. So highlights also in this quarter, the continuity of process of PDVs. We had 2,500 registered. We had up to April 1,974 people that have been dismissed by this process of voluntary dismissal with important remuneration for this process. People that could become part of the program that were retired or should be retired, so there were senior people in the company and then we had this process of running here up to April 30. So we had – we still have 520 remaining dismissals that we are – with new Vice Presidents evaluating the schedule of the dismissal of these remaining people. So we are launching here in the month of May, the second dismissal plan with the remaining group of people in the companies of – so it depends on the – and this will depend on the moment of – on the career, which person and the demand that the company has, and this has been already cleared up in the presentations and then strengthening of the holding, the strategic aspects and – of several dimensions in our restructuring process. So strengthening, we had six directors, and now we have 11 Vice Presidents that we will show a little bit further ahead. But in these Vice Presidents, we – the complementary of appoint the people and three directors in subsidiaries. So it's the beginning of a process of restructuring that we want to finish by June appointing everyone in a meritocratic way as the one, who aspired of the current managers or people with high potential that could occupy these positions. So we can have with a lot of discipline and meritocracy, an important example of creating value starting the capitalization. All the partnerships, we have renovated them, understanding the simplification that we need to do. The control now of 100% of each one of the – of our controlled companies. We have also excelled here our city, the payment of BRL621 million in this quarter already done here in April. We had other deposits in funds. So all the commitment of cash that the company had done in terms of capitalization has already been done. The following slide, moving on to talk about our transformation, and I will now show you on the left side already here some observation about deliverables that already performed. So dismissal plan already, 80% of the registered are already dismissed. By April 2023, we have here in supply, we have a commitment in a disagreement where we have 80% of the first stage captured. Here, we have two elements. One, CapEx, reduction of R$150 million, which would be equivalent to 90% of our expenses of R$1.8 billion. So this is very important for CapEx. And on OpEx, economy 43%, mentioning the company insurance. So R$280 million addressed where we had R$120 million reduction. We appointed all the N-1 managers below presidents for the holdings under the control companies are already done. We already worked on – we were through these levels, all the agreements already agreed. Most of the companies with the exception of some subsidiaries and managements. So we also continued the negotiation of our compulsory loans. We have paid around R$780 million, 43% of stakeholder shares. We have accumulated R$640 million [indiscernible], and also almost R$692 million of off-balance reduction. So almost R$2.1 billion total. This is the first time it happened in many years in the company, at least the ones that we have – the ones that are participating in. Another important instrument was 90% of currency exchange expectation with other bonds in the United States. They have two more operations happening with subsidiaries values that we concluded in this second quarter, or semester, in second semester. We have here several deliverables that will be operated, I'd like to rank here. First of all, we will do by the end of June 2023 Eletrobras Day, where we will share with the investors and analysts, the essence of our strategic process with an important reference of our goals and strategic actions that the company plans to execute. Along this point, we go through the second phase of supplies. That is expected for next semester in 2023. So we're looking here at the CapEx of – with an expected reduction of R$280 million. 10% of the expenses of the remainder of R$2.8 billion. And in OpEx, R$200 million or equivalent to 25%. So these two phases, when it talks about supplies, is really important either for OpEx or for more competitive in CapEx in the acquisitions done by the company. So we may – we'll launch the dismissal plan for the remaining employees of the company. We are also within an ambition to the partnerships with around 74 agreements to be done, 31 by the end of the year, and there are several operations of incorporation sales of divesting, and we will also give liquidity to our partners and in our joint ventures. This is important for the liquidity of the company and the results as they go through in a control exercise by Eletrobras. We have a renegotiation in the structure of capital of SAESA running and this will happen along the third quarter. And then not just to achieve 100% participation but also to – together with the NGS [ph] so that we can restructure this debt process so that we have Eletrobras with a bigger share. So we believe that this is a relevant important that it adds a lot of value to the company. And finally, we also – we plan to share here with you. This is a strategy of optimization of fiscal credits. We have fiscal credits relevant in holding and also in the subsidiaries. I'll gather with either capitalizations where we can – where we have to provide capital – allocate capital to companies, to partners, to joint ventures so that we can generate tax revenues in the holdings M&As in joint ventures as we have done with SAESA and receivables. So this set of values create a lot of worth. This mix of viable, the important creation of the value for the portfolio of the company. So these are the points that we – in our transformational process led by Camila. And here, we have – I’ll show you here the new leaders in the company. So as I had mentioned, but we have Antônio Varejão, Director of Engineering. He is the CEO of the company [indiscernible] Professional Engineer and has been in the sector for more than 30 years. João Carlos Guimarães who lead our area of commercialization, also professional very recognized in the area. Has gone through several companies such as EDP one of the subsidiaries of that as well, and Wolff, who was the Head of M&A of ENGIE outside Brazil and now he is with us. He involved in a set of operations and the maintenance of two professions that are very valued to our company. Rodrigo Limp in the regulation and from one of the former ANEEL leader [ph] financials. He has been here since together – since I joined in my first time in the company. Camila Araújo, Risk and Conformity and Governance. We have brought in [indiscernible] former Director of Supplies in Vale, with a big experience in sales in several big sized companies for this; and we also brought here [indiscernible] people, management and culture, 30 years of experience in this area of human resources with – through many own consultancies, but also several companies. [Indiscernible] we also made a litigation verbalizing the – so that Marcelo can come, a correct Board member. And also in May, I will – and then here, I'll led my President of Research and Development, Digital and Information Technology and bring Augusto Figueira then I hope to conclude this. So we have the team basically completed here, working in a process of transformation that is led with me together with many of – together with Camila and other of these Vice Presidents here. And in the next slide, I would like to show here and give the floor to [indiscernible] that he gives his first comments with you. But for great move is impact team, the Eletrobras field, we have the PDV the reposition structure optimization. And [indiscernible] will make a brief comment about these challenges.
Unidentified Company Representative : Thank you, Wilson. Good afternoon, everyone. It's a great pleasure to be here and talk about these movements that are shown here related to us, to management and to the culture. So the figures of PDV that you see here for the voluntary dismissal that has already shown in some – in the previous slides, but I want to highlight the impact and the expectation we have of this annual savings of R$1.1 billion, that has already come to R$150 million up to April and [indiscernible]. And then now in May, we have this dismissal plan that will be launched for the second one with 1,500 people already registered for making that the organization comes close to the size in terms of people fair with its performance and with what it needs in terms of people to operate and operate in an efficient way and annual savings of R$680 million – R$600 million to R$800 million. So together, the total savings – expected savings of almost R$2 billion in this process, not voluntary dismissal. And then here, we are replacing some of these professionals, especially in the maintenance area of 832 professionals. This starts next week. We have the first wave, 831 people arriving in the company and starting the operations by June, especially with the focus of operational continuity and renovating this field, which is replacing many of the people that have left, especially retired people in the first dismissal plan. And then optimization of the structure starts, the centralization of the organization. Up to June, we will finish implementing this new structure with the strengthening of the corporate functions. So reducing the number of management positions in 30% when we compare with the pre-capitalization. It's an important impact in terms of – point of view in terms of cost and also of being an organization that is much leaner and lighter and more efficient, of course. And lastly, the process of strengthening of cultural transformation with our strategic objectives aligning of the organization with people and a new design of career track plans and onboarding of young people that we should start to be doing in the second semester. So with this, I finish this part, and I thank you very much, Wilson, and I give you back the word.
Wilson Ferreira: Thank you, Renato. I would just like to – so we have around 8,000 people in the company. But we started here with 10,000, so we see this reduction. So I'm trying to be concise here in the explanation first. I would like to talk about the sustainable growth of the company. In this quarter, we have added new megawatts to the company. We were finishing the cycle of Santa Cruz, our thermoelectric in Rio de Janeiro with more 450 megawatts buying hydroelectric unit of Santo António. So 22% of the capacity in Brazil. So with controls, we have 1,475 megawatts of added megawatts with SAESA, Baguari, Teles Pires, Retiro Baixo and leaving that which will add the 550 megawatts that we offer to be already constituted. We are hearing this to become the biggest components of renewable energy in the world. And with these movements, we are naturally meeting this. And we are here with our energy, which is renewable, which is cheaper also, means 20% of the energy generated in Brazil, 22% of the capacity installed. And 87% of it coming from clean sources. In transmission, we had the same behavior. I highlight here the increase of an investment. We doubled the investments in their cooperation in the same quarter compared to the previous year. And now we reached here 74,000 kilometers, 38% of Brazil, 282 substations. Brazil has 194,000 kilometers of transmission. And we also have the perspective – excellent perspective of great of – implementation of great size investments with a CapEx of almost R$6 billion, and this 827 million 2027, R$186 million only in this year 2023, some already implemented in the first quarter. So a sustainable growth in the – in the sustainable growth and also transmission, the decarbonization of our generating energy. In the next slide, we have an evaluation here. I'd like to highlight here, it's really important that our revenue in the first quarter reaching of R$11 billion, 71% of it is revenue regulated indexed to the IPCA, most of it. So looking here R$4.2 million of the transmission, R$2.62 billion generation in market in the long-term, 38% in the generation of coal, decreasing along the time, but it means 9%. And all of this comes to 71%. So was here in the superior block of about R$3 billion or 27% of our revenue coming from market, the free markets. And highlight here in the free markets, that 86% of it are in bilateral agreements, which is typical in the industry market, but also with an index to the inflation. Only 4% of this that is in a particular liquidities in the short-term market. So these revenues, brands of transmission lines for telecommunication of providing operational services that we have in Belo Monte. All of them are also indexed. So it would have been correct to say that 71 plus 2, 73 plus something else close to – about 96% of the company is bilateral contracts indexed. So very good. With that said, characterize, it's a very robust company in terms of the revenue generation. And I go to the second slide where the following slide where I come here to show you, João Carlos Guimarães together, who is joining us, telling us about what the market has been debating these bilateral contracts concerning this law from 2015, 13,182. So João, please you have the floor.
João Carlos Guimarães: Good afternoon, everyone. These contracts, they have been agreed on this law from 2015, and they are electric intensive clients. This contract, they have 1,241 megas that have been contracted. They have a specific tariff in the 184-megawatt hour. So it's important to highlight that this price what effect stays in the Petrobras in terms of effect of revenue is equivalent to quotes, so R$90. So this difference between R$90 and R$190 goes to the investment funds in the Northeast and also in the Southeast in terms of generating energy as these prices are above from a point of view of the client to the prices of the market. Many of them have been options of reducing the contract – the amount contracted. And this law, you see this in last year we have six months for this reduction and also breaking this contract. But in this case, in 18 months without having been fine. So here, we had the first quarter, we had a reduction of this number of process, and this should increase along the year, then along 2024 as well. So basically, this is it, Wilson, what I have to say for now.
Wilson Ferreira: Thank you, João. I'd like to highlight here that in this comment comes around that this rule is the request of breach with 18 months ahead. So once upon request, we have 18 months to execute the contract in the terms that it exists today. From there on, the following 18 months, we're talking about half of 2025. The consumer who took this decision has a risk in terms of contracted energy in the free market as prices are above or if we have the variation of – as we have had already two years ago a non-favorable situation when – and then obviously related to economic perspective as well. So we have these favorable conditions, the risk of this consumer increases a lot, which could impose this decision in the level of responsibility that is really big. So moving on, we have here the variation of our volumes of revenue generated. We see here that 90% growth in this quarter compared to the first – the same quarter in the previous year, and we see a growth – the lower quotes, which is the process of decoding. And also, we have a growth in the ACR with 86%, so rigorous growth. So we have the cooperation of SAESA in our portfolio. So the importance of this transition and the free market growing 29%, also with the growth in outcome income comforted in the two, three markets, 29% growth and 27% of the volumes that you have to put in the short-term market. On the other side, we have the growth of the revenues of generation from 22% to R$1.2 billion, reaching R$6.5 billion. And then here, we have readjustments of the quotes that are – but reaching basically despite the volume of quote, we had growth in the units values. So with a reduction of volume compensated by either growth of the price of goods of R$1 billion, and we have an increase also in the volume of markets or regulated markets. R$2.6 billion, reaching a revenue average of R$220 per megawatt hour and then in the free market from – we have a growth – an important growth of volume of 26% and a growth of revenue of 26%, reaching a total revenue of R$2.6 billion or 200-megawatt hours and this volume liquidated in the short-term R$440 million. So the performance in the generation is very strong besides the economic moment that we are living in Brazil. So here, we have this regulatory view of the transmission, so I’d like to highlight this because that’s the values of revenue of transmission are different from the regulatory. I’d like to highlight first that we continue evolving a lot in terms of regulatory. So the green ones on the left side shows that in our portfolio, our regulatory revenue of R$.3.234 billion to about R$600 million growth. So it doesn’t reflect this trimester in the reported IFRS and almost R$4.216 billion. This is due to the fact that you have the revenue of the transmission segment indexed here to the variations basically, especially on the curing inflation rate to 2% in this quarter against 2.3% in the same quarter last year. And the same is the even bigger one. So you can only keep this revenue stable because we had a spot growth of the assets in the concession in terms of R$350 million. So this is an important part I’d like to highlight. And 15% increase liquid of inflation of – and the reprofiling of also – of the figures you see on the slide. And now I’ll go over to speaking on the financial performance. I will have – talk about the first slide, and then Elvira will take on. I’d like to highlight here a couple of things. In the second quarter, we reported the financial results, a growth of IFRS or the adjusted value of 13%, R$9.2 billion in the quarter, revenue growth of EBITDA reported of 44%, R$4.8 billion and the adjusted EBITDA of R$5.6 billion, so above the inflation. However, result in the last line that has a set of items that we considered non-occurring that we have reported R$406 million in profit – R$402 million in profit. That is adjusted in – so these are highlights in this quarter. The growth of revenue to consolidation of SAESA and our regulatory recovery, our investments that I will talk more about, the reduction of provision for compulsory loans. So also continuing in this line and also savings related to employees that have left to have add preventive health plan and so on. We are already working as Renato [ph] has said with an expectation of a savings of R$17 million monthly just with the people in the company. We have a growth of – due to the consolidation of SAESA, an increase of also – of our consolidation and large of two viable isle of these conditions. We also had a growth of R$100 million now operational cost because we had here the consolidation SAESA 300 and we adjust 15% those add more than the balance that we are reporting here. And then we have here in the effect of what we understand that we have to be observed in non-occurring the anticipation of the payment. We have a discount for anticipation of resources that are brought forward and about R$1.3 billion and then also – and reducing compulsory loans provisions. We have a reduction of R$335 million in terms of R$377 million in the monetary updated. So we have in this – starting this quarter, a part of R$1.8 billion, which is amortization of capitalization and part of obligations related to regulatory funds, totaling new as you can see, R$1.8 billion. So this is something that becomes a priority in the company, in the evaluation of alternatives for additional financial expenditures. So moving on to Elvira.
Elvira Presta: So we have half an hour presentation. So I’d like to reach 45 minutes. So thank you, Wilson. So I’d like to talk about some details related to the demonstration of results. As Wilson has already mentioned, we had here a growth relevant of our gross revenue of 3% to R$11 billion. And I would also like to make some comments on our base in which we consider reoccurring, which is our adjusted base. The more relevant of increase of revenue already is the consolidation of the SAESA energy company and that are – and this is reflecting the regulatory environment. As also in the Santo Antônio also has price – average prices of over 200. And this reflects in this increase of revenue. The slide that I’ll highlight more of ahead, I’m not going to mention now, but we will show more details later on. But in the block of costs [indiscernible], the operational costs that is in light blue, it’s important to highlight the Santo Antônio with the same way that he hedge value, it also brings its costs more in this period. So in the construction, we have especially has accelerated later, a lot of the investments in – adding value to the transmission, which is very positive. And then we have an increase in the revenue of R$200 million. And in the case of our thermoelectric Santa Cruz in the first quarter, it did not only was dispatched but also it was performing some test to do a cycle. So there was no need, which – so there was no need for field, which we save R$200 million in amortization. And I’d like to show you here about – also consolidation, we have R$500 million. So we have an increase of 80% in expressing increases, and this is an effect on non-cash, which is the amortization of these new contracts that we signed with the capitalization. So this brings more or less R$350 million and also the depreciation that comes from Santo Antônio Energia. And the final financial result, the duties of the debt with Santo Antônio, which are consolidated, that after renegotiations we see a reduction in these amounts. And the programs for relevant value, that is the PCI and also the duties. And so special projects they see here, very important to highlight that in this moment, we’re having this impact on the financial result, which is also non-cash impact. But impact – a cash impact, which is – because it’s very important, because this impact follows the flow of 20% a year. So we pay this R$900 million referring to the initial projects and the recovering the basins, and also in the Amazon region, now in April, we have already paid the [indiscernible] to this year, which is R$620 million. So from this, in terms of cash up trip, we have done everything, but the amount that we go to the financial result is higher. So it’s important to make this comment. And also in the currency exchange situation, we did not – we have even better result – positive result in the quarter last year. So we had – that’s why this negative result of this here, and then we showed the hedge here for 90% of our expedition. So starting in May, this very – this exchange – currency exchange variation will stop existing. So now moving on to the second to the following slide. So we see here the detail of the graph, the composition of our revenue – of gross revenue, remembering always that the two extremes are IFRS, and we are focusing here in these columns of darker blues, whereas the recurring result, as already mentioned, the main effect was increasing the – in the generation with the concentration Santo Antônio Energia. Besides that, we also had Eletronorte the regulatory environment. And then this has added R$600 million in terms of revenue and already explained. We did not have the operation of Santa Cruz in the first effect. So this brings this result. And also from a regulatory view, we had an increase of revenue from IFRS. We have a light reduction, as already explained by Wilson and also due to inflation. And I’ll move you onto the next slide, the PMSO. So on the left side, we have the graph the superior part is IFRS, and the lower one is the – what we consider the recurring, so that we can make a comparison and effect of comparing a regular basis. We have consider Santo Antônio Energia, because it has added R$72 million of PMSO. So here are on the right sides of the main points that I would like to highlight. Our main expenses is people, and that has grown R$44 million as we highlight on the right recurring people only, which has only increased 12%, which is much lower than we have with the adjusting the collective bargaining. And now the main – we have a economy in the – with the dismisses that have already happened. The program with the collective agreement has already explained 100 – and we also health plan has been intensified as it usually happens when we have the dismissal plans added [indiscernible] And also we had the expenses, even though, we have GAAP to the reoccurring, in fact, it doesn’t come back to happen. The other people that have been dismissed together with PDV, the dismissal plan. So these are the main points and in the block of services. And also the last comment – so the perspective is that from now, one, continue this reduction in the dismissal plans as they keep ongoing, and that they will launch and that are still coming out in the next six months. In the blocks of services I’d like to highlight here, we had an increase of R$59 million, but great part of that are expenses that also will happen for a limited time, which are the consultancies that are helping us with all of this plan of transformation we had here, R$28 million for the transformation office and other and legal services and also the technical nature, like maintenance of assets from our subsidiaries. So this has to added to R$22 million and others, we have a near – a small increase of R$7 million, mainly from according to the – by the retired from Chesf. And we have several savings as we highlight too is the initiative of insurance. We had already implemented last year, and now in this first quarter, we had implemented more R$17 million in reduction with the insurance. And also Eletrosul, which is making some alienation of assets and rights and had that another R$5 million. And now with the operation of provisions, this is one of the highlights in the quarter, comparing to the same quarter last year, an expressive result, the compulsory loans we did not have an increase of provision. We have a reversion where we that – due to the work that has already been mentioned in our conferences, in the line that highlights is as a green PCOD last year we had a provision of Amazon Energy, the distributor to the Eletronorte and also the – he ended the – all the provisions. And we do not have impact basically in the – any of PCLD. And I’ll go into the last line about legal provisions. We had an increase of R$350 million to R$370 million, which is the highlighting the great part of this are the updates in the old process that are already existing. And some situations of process that there was a reclassification of risking function of to due to the some unfavorable decisions. And in the same way that we have the initiative according to compulsory loans, and there’s another initiatives led by the – by our Legal Vice President to address these other process that are non-compulsory and will retain some reductions and agreements in the future. So to the next slide, we have a variation of EBITDA with an increase of 10%, which has already been explained by the previous events. And then the partnership we don’t have Itaipu less R$116 million. And now Itaipu is not uncontrolled by us. And the other effects of expenses have – I have already explained. So in the next slide, so that we can reach the conclusion variation of a net profit, which is the most relevant one. The financial result in which has this fall of R$3 billion and this variation of R$3.200 billion negative. But we have today with a recurring values that are be addressed – that are highlighted on the bottom. So it refers to this one, R$1.3 billion refers to these insurance expenses at R$709 million, the Santo Antônio, which we will renegotiate in this variable on our currency liquidity of R$886 million. And also in the part of highlight that we have this discount of R$335 million in order to receive R$950 million, which we will take 20 years we have already received. And this is in – this is a single event. So – and after the compulsory loss each trimester, it tends to decrease in the volume of contingencies, and this has been over five – this value has already been over R$500 million and now you see it’s lower. And also leverage, we see the company continues this in the value of net debt and EBITDA. We have the composition, the gross debt we had R$259 billion last year, and now we’re going to R$158 billion. And we also had a small decrease in the cash due to the payments that have already been done, but we kept the growth of EBITDA and also the net debt in 2x and some and also the payment of CDE, which we paid already in April, R$126 million dividends that we will pay in the end of the – in the end of May up to June. And also, we reached R$900 million from ENBPar and also the last slide of the investments that have been a significant growth of 191%, consolidating the tendency that started last quarter. So over R$1.5 billion in investment adds to the operation that Wilson has already mentioned, adding the company’s debt also the Cemig of the plants of HPP Retiro Baixo and Baguari Energia, and also continuing the buying of Santo Antônio and also inside the investments, the wind park, which of course, that we are building. So we end here the financial highlights and then we can go on to Limp. Thank you, regulatory because we had important decision here related to – so I will give the word to Limp so that he can explain here.
Rodrigo Limp: So thank you. Thank you and good afternoon, everyone. So we’ll go here to the slide we brought here the highlights the full main focus in the RBSE, which is a theme that Wilson has already highlighted, we had a new technical norm of SGT which had a difference of nomenclature inside ANEEL, but it was issued inside the SGT U.S. filing, which consolidated the analyses of the contributions of transmissions, of generators, of consumers in relation to what sit in the technical norm of the same number of last year. It brought – it did not bring a lot of innovation in terms of understanding to the new note, but it brought an understanding that is very similar, and sharing in this meeting in three topics. The first topic which is amortization which is anticipated and even though it didn’t bring a change in of understanding the technical terms of 86 – 85/2022 but it gave us two ways the same way of payment up to which is post anticipated, which was widely discussed in our public audience meeting in 2017 and also was in our understanding the position of the promoter’s office and not to changing this item and keep it until the flow of payment to waive this post anticipated manner and also brought some of the possibilities. And also as shown in the 2022 Technical Note, the possibility of change of amortization to anticipate as June 2020, which was the understanding the technical term that was concluded in these two ways related to the separation of flows of application of KR only in the installment that is different from that of the methodology that was already run. It changed the – bringing in this technical term last year and also about reaffirming the understanding that the agency should be no change so that – I’m sorry, it should be changed so that it would be – can be – have the calculated the debt that is still due payments and also some difference in calculation. We are still looking at the numbers that were made available, and we had yesterday included in the – this process inside the meeting now on Friday, we are here with Eletrobras and also [indiscernible] discussing with ANEEL several times with the legal team – the technical team, the legal team. In the next week, we will be there in the public audience referring the legal reference and the predictability of the rules that define in several decisions that were taken in the sector, highlighting that we don’t have any merit decision related to the team, but possibly it will be taken on Tuesday. We – I’m not sure in which way we will forward – which way the Board will forward because these votes have not been made available yet, but they – hopefully, they keep the same terms with the consolidation process and the final discussion inside ANEEL. And also this update of our RBSE. So now we wait for the decision in the next Tuesday. So we have two more slides. I want to highlight that we made available our annual report that I recommend reading, we have it complete and summarized in English and Portuguese with – where we talk about the future of the company, any sequence, some recognition. First of all, I would like to advise leading the initiative that was launched in February by the Global Pact of United Nations and Human Rights in the electric sector and also some recognition done by several organs and agencies and they put Eletrobras as one of the best companies in electric energies in Brazil. And IFR awards in the category of Latin America of equity by capitalization and the permanent – and our stay in many other awards placed here. So I just wanted to say that this is a permanent commitment that we have. And obviously, as closing this – our first intervention here with us. I’d like to thank you. This is the work that has been done in a very cohesive way with the Board of Directors of Eletrobras and the new executive management. And I’d also like to highlight and share that the Board has met in a very intense manner and we are advancing. And I clearly have the impression that we are advancing very much so in the strategic – in our strategic agenda, creating value for the company. And this is due to the dedication of everyone to the – to a greater cause, which is adding value throughout all the treasured ones who – which Eletrobras interact. So now we’re free for questions that you may have.
Operator: [Operator Instructions] And then now we will go to the first question, which comes from Andre Sampaio sell-side analysts from Santander Bank. Andre, you may open your microphone. Please Andre, you can go on.
Andre Sampaio: So, well, good afternoon, everyone. I have two questions. The first question is referring to the contracts of [indiscernible] to be added like to know more about what you already understand is a contract, what has been already been requested in terms of canceling and also any – and if this is already known by the company, this is reflected in the energetic balance. So if we – some adjustment it should be done or not. So depending on the discussion of today. And the next question, Angra, if you can talk about the expectation of Angra, in fact, in – and still speaking about Angra if we decide to build Angra, how would this division of cost of mobilization and of suppliers? Would it be shared by the stake – economic stake or original owners.
Unidentified Company Representative: So thank you, Andre. So, I’d like to – I’ll ask in the specific case of [indiscernible] Carlos talk so that just going to leave – related to Angra III, we had this week, I recommend that you have access to the material that has been shared by Alexandre Silveira who was there in the National Congress. He reaffirmed that the commitment that we have of this construction of Angra, which I said is really important for the electric system, especially in the Southeast region, the metropolitan area of Sao Paulo and ministry, which this process in the clear manifestation from the minister, it’s a priority of the government. So now I will give the word to Limp – so to talk about the expectation and this risk that you have mentioned, and National Congress will talk about indiscernible . So Limp please.
RodrigoLimp: So thank you. So, I think your approach a very important point that the scenario that we work with is to complete execution of the project. So the project already has – most of it is already concluded. It’s a significant part that is already advanced. So there is still some important parts. But most of that has been done, we have discussed here together with the ministry that has done this interference also with some of our courts that – so that we can approve the tariff. And all the contracts that we have had with public sector and where we had some audience, there was a specific presentation about nuclear energy, Angra – Angra I, Angra II and also mining associated to the nuclear energy and also the project of Angra III. So our scenario is executing the project. Our role as shareholders is to contribute and finish the modeling and within the execution of the project. So we are in, in fact, structuring inside those areas that are – that’s into following this project due to the importance of the project to Eletrobras and also something, like, as is we don’t work in this area non-execution, but from electrical nuclear it’s – we talk about – we have to talk about the shareholders. There is no rule of how it will be treated. So it’s not the basic scenario that we worked with. I’d like to highlight that this is a project that the risk of 70% of the construction is already concluded, what – basically what’s missing from the moment that we follow up with this critical process, which is compliant with the CFO work. This is a project is similar Angra II, same size, same machine. And we have here in terms of investment besides commissioning, which is the main activity that needs to be developed. We have here the instrumentation, which is a very modern is the greatest change related to instrumentation. So, I think this is the fundamental factors so we have the development of this construction. So Joao Carlos, please.
João Carlos Guimarães: So good afternoon Andre, what happens with this impact. Basically, it’s given to as I mentioned already. So this volume is unlocked. We consider it as not contracted energy impacted to the cultivation. So the price R$109 million, R$185 million great part of it is for the investment funds in Northeast and Southeast. What the company retains basically is the very similar to the court. So with this we with the breach – we incorporated this volume is already informed, and this means value that we can put in new operations of – new operations.
Andre Sampaio: So thank you. So very clear. Thank you very much.
Operator: Thank, Andre. Our next question comes from Marcelo Sa analyst from Itau. Okay, Marcelo you can ask your question. Please move on.
Marcelo Sa: Hello everyone. Thank you very much for the call. I have some questions. The first is trying to understand with your head, the terms of capacity, what will happen by the end of the year. If you have a relevant potential with the capacity you could offer and also about another question, that makes sense or not is to have this discussion with the government is a transfer of participation that Eletrobras has in the assets – in the nuclear assets, the government so that to the – if it will make sense to have any type of negotiations with the government to take this risk, this uncertainty that you have in these parameters of Angra III. And the third question, it’s about [indiscernible] in the canceling of this appears zero for Eletrobras due to the new resources that we will go to the fund that will not go to the company. So these are the three questions, basically.
Unidentified Company Representative: So I’d just like to complement, it’s not that it’s not the state of the company, the resources to the transfer cost to the cash flow to the company. And – but it’s a restricted fund, the company can only use these resources for and establishing law, so contracting this energy, which is another way of decoding it would be free to sell the way you want. So in hydrological conditions, pay better price, better market price data. So you cannot use these resources to pay dividends. There are – there is a specific destination established by law related to – this is like the difference of hike and the difference in revenue.
Marcelo Sa: Okay. It’s clear.
Unidentified Company Representative: Thank you Marcelo. And so about the comments, go ahead please. This participation that today there is nothing today that in discussion in this way. So the main focus of, I believe, of the government and Eletrobras is to define the conditions of the verbalization of the venture, the tariff, it’s very important the contract who will supply the equipment, the conclusion of the construction. These are the main focus related to Angra III.
Marcelo Sa: Then about the auction of capacity at the end of the year, you have the potential to much of capacity that you have today if it’s an option to generate that for the company and what will be the amount that could go to auction and some idea about what do you think will be the contract in terms of capacity in this auction. So I can speak about that. So I think we have to wait first to define what will be the guidelines, the final objective of contracting and as far as that would be able to participate. If it’s just the thermal ones and then we have – we don’t have any – we don’t have anything to evaluate where we have to evaluate the opportunities. And – but we have the work also here really associated to regulatory agenda, where we have the valuing of the attributes provided by the thermal electric plants, which could be in the process of contracting due to the necessity of even more system that of the service provided by the hydroelectrics.
Unidentified Company Representative: I don’t know if it’s in this line, if you were specifically talking about the thermal electric ones.
Wilson Ferreira: No, in fact, is an auction in general. So there’s a discussion. There will be different products in the auction. Mainly in the thermal we will ship products that will be computing. So this is the question. So what has been raised in terms of hydroelectric is related to the amplification and not the current capacity, but will be the guidelines defined by the ministry.
Marcelo Sa: Thank you.
Operator: Rafael Nagano is the next question; analyst sell side from Credit Suisse. Rafael, you have the floor.
Rafael Nagano: So, good afternoon. I have one – just one question from my side. It will be related to all the employees that are leaving, I don’t know if you – I would like to know if you have any relation of the average cost of the people who are coming in the company compared to those who are leaving by this dismissal plan.
Wilson Ferreira: The ones that are coming, they have an average remuneration, 50% of those that we have today in the company in the same categories. Thank you, Rafael, for your question.
Operator: Our next question now comes from Antonio Junqueira, sell-side analyst from Citi. Antonio, we will open your audio. So that you can ask your question. Please go ahead.
Antonio Junqueira: So everyone can hear me?
Wilson Ferreira: Go ahead.
Antonio Junqueira: It’s not about operational questions. My question is sometimes the company, they have to defend legally. So now other companies, they have so a lot of contingency money removed. So because short questions are presented, they have to be debated recently. The government has given demonstration that it wants to a legal question, the number of what it has in these assemblies, which is breaching contract, but the company maybe has to defend. So I would like to know what is the legal strategy that – about the team and what’s the official position of the company. The press only talks about one side. Nobody’s defend publicly the fact that they’re going to have to sort it, it’s right and then to vote, and I want to come back with that. So this date, you only hear one side of it, so I’d like to ask the company.
Wilson Ferreira: So first, Junqueira, we have to – and I speak very comfortably about this. And so this process was an object of ample debate of the society through its representatives in the National Congress. So besides that, it’s also a process like a call, we have conducted by an evaluation of the accounting court of the union. So this has been an important approval. So remembering that this – the public audience about is a process from a legal point of view, I’m not a lawyer, but it’s a perfect process. And so if you look at the process considering improbable. So less likely. So what Eletrobrás can do is to the public audience. So we can clarify any questions. So this has manifested many very clearly and continues to which the company relates to. So with the minister, which is Mr. Alexandre Silveira we had several interventions – interactions with the minister. And all other times, we have a position this way. We have to see that the robustness of the project, the process over 300,000 workers from the reserve. So it’s not a classic process of privatization. Into privatization, you sold all the shares and then for the third – for any third-party or process, there was – we didn’t sell any shares directly. So in fact, it was diluted by the size of capital, in which the use of this capital is exactly allowing that the Brazilian people could have a reduction of its fees due to the quotes that generated those no – those tariff leg. These were the main elements that determine the – and also – and under the worth of this contract from – as the government received an insight and also in terms of society reducing the amount of – and also the formation of funds that are in the interest of the union. So this processing in general has a set of advantage. So the advantage that one of the main points is that the corporation that is the model is a partnership model, preferred by all the companies in the world should make this growth process viable. Our case, we have the advantage that we also have the Brazilian corporation like [indiscernible]. So it’s a Brazilian corporation, all the members here are Brazilians, all the board members are Brazilians, decision process is in Brazil. So this is the first defend in the process is a little bit this, it’s up to us as a company made available to provide information. I’m talking from a legal there are four actions of constitutionality, what are the speculations that have there could be a fifth one. So sure the question is given to anyone, is given to the government, and it will exist this right. So we have – we are not [ph] direct part, so we don’t have a participation. It has to be evaluated in the sequence that they come. So it can be – it can – somebody who can contribute to the process as we since we have done this since the first part, now we have four, and now none of them have given any specific harm or hazard. So it’s a process that can be matured and it will be sent to court and judged. So they are given this right. So I understand that we have – maybe we’ll have more in the company provide information or share information of everything that is demanded. It is totally open to this and anything above this, it has to be evaluated in another legal sphere. So the company is making available all the information. And I think in this is my second quarter here, but the big advantage of the capitalization process exactly is to have the company be – the investor be in Brazil. So I think we have this here. We have to triple the transmission value, which is highly important that the minister mentioned the importance of the growth in this area. And now we have no capital to this investment that in the second quarter, we are explicitly negotiating this. And besides, it's also having – we are nationalizing the – and putting this in brackets. So crossing participation in some hydroelectrics of renewable energies to also bring this is a greater participation to the Brazilian company, Eletrobras. So this is what we can talk about. Besides this, we don't have any way of sensing the legality to question. And from the company side is totally available to share any type of information of all of the communities and also to make it clear that we already are complying with the objective of the process of capitalization, which is to increase the capacity of investment of the company in the interconnection of Brazil and the development of renewable energy in Brazil. And this is what's happening in and the numbers don't lie.
Antonio Junqueira: Thank you.
Operator: [Operating Instructions] Our next question is from Henrique analyst sell side from J.P. Morgan. Henrique, send your request so that we can open your microphone. Please you can ask your question.
Henrique Peretti: Hello everyone. I have some questions. The first is about we've seen an increase or a great increase in the financial results; just R$1 billion in one-quarter. My question is if this value is possible for the following quarters? My second question would be about Amazonas Energia. We didn't see any relevant provisions related to Amazon in the first quarter, which is a good news. I would like to know to understand if this -- if you plan to keep this? Thank you.
João Carlos Guimarães: So thank you Henrique. So first of all, let me start clarifying about the financial results. In fact, R$1 billion that appears there, part of it referring to Santo António is 70% debt, R$600 million are the other debts of ours. And these duties will decrease after negotiating this debt, which is the next step that is in our work plan. So we're restructuring. So – and here we're not trading this with the creditors to renegotiate this debt in a way that this value is reduced. It will not disappear, but the intention is that naturally to decrease this another point that is important in the financial results is that we had an impact of the discount that was given to ENBPar. This is a single time event, it doesn't repeat, which is a discount of R$350 million. And the event that happens every three quarters is the correction is the adjustment of the applications of CDE and obligations of the reservoir flows and Amazon [indiscernible], which are obligations from the capitalization. So I think Limp can talk about Amazonas.
Rodrigo Limp: Just to make observation about the financial result, there has been greater impact. We have with IPCA. We have an effect very elevated IPCA. We had a counterpart in the revenue. So 70% of revenue is indexed by IPCA, so just to – so well mentioned.
João Carlos Guimarães: Thank you, Paulo [ph], for the complement. Thank you. So in fact, our – in the last quarter, we had a relevant provision of Amazonas which really is 90% of that debt from Eletrobrás with Amazon provision. And then this difference of 100%, in fact there are values that are current ongoing expenses and also debt and other debts that are being paid and we're not observing any default and also growing expenses that many times is question since May last year. We don't observe any default in Amazon distribution, and we have the contract – bilateral contracting around R$350 million a year – a month. So most of it comes directly from CCE, which is part of the [indiscernible] natural gas, and the remainder we received from Amazonas. So we are receiving in a way without default. So we have – so we would decrease – we will receive this instrument from ANEEL related to energy of R$150 million a month that they had a technical note favorable ANEEL with the Director [indiscernible] we have a meeting with him in the following weeks to deal with the topic. So today, we don't have an expectation of under provisions because the values have been paid as I said since May last year. So we still have the value of a less amount but paid to the ongoing expenses. So the provision has already done and we have a debt that is provision significantly above R$7 billion, which we have to treating in a global solution, which involves deregulation, the Ministry of Mines and Energy, so that we have a recovery of these provision values.
Henrique Peretti: Thank you.
Unidentified Company Representative: Thank you, Henrique for your question.
Operator: Our next question now is from Daniel Travitzky, analyst sell side from Safra Bank. Daniel, we will open your audio so that you can ask your question. Please proceed.
Daniel Travitzky: Thank you for the opportunity. I'd like to know a little bit more about the strategy of the company related to the [indiscernible] of the energy that is in the scenario of fall in the prices of electricity and energy. How do you think about the strategy – commercial strategy, and this will help a lot?
Unidentified Company Representative: Thank you. So I will go to [indiscernible]. So first of all, I refer to [indiscernible] the discussion about the scenario because we forget that two years ago, the same economy we have today, we are operating with the biggest drought in our history, 91 years an operating in the highest price. So now we are with one of the best – one of the best indexes of rain and we are operating the – we have an excess of – overflow of, at least, we have the first steps of – we see the economy growing and we have an acquisition here of volumes of energy of 30 years. So this – and our own results into 2023, results of the strategy implemented last year they are robust and the prices they speak for themselves. So I believe that we need to complement. And then with that, we have a Vice President of Commercialization. We have the integration of this Vice President with four – we kept four directors of commercialization, commercial ones in our subsidiaries. And we have here a strategy done from the holding with the support of not only by the people in the house, but also – but we are adding of consultants, things that we didn't have in the past and now instrumentation systems. So an important measurement of risk in terms of, risk of the market, risk of credit and operations done weekly with the mandate to our – by our controlled companies, and we have to come close to the consumer. So we brought João Carlos that here, then he will complement with our answer. So he can talk about this commercial transfer, which is in his hand.
Unidentified Company Representative: Daniel, good afternoon. I think we also have already answered most of the work that we have done, but have 30 years of electric sector. And this is a cycle question about the price. Sometimes its high, sometimes its low, sometimes it is to have a management of our portfolio that is very efficient and this is what we are implementing now. We are working with revisiting all the process of developing new process. And we are going to strengthen our base of clients so that we have reocurring revenues and also allocate and we reduce the contraction of – contract of energy so that we can allocate it in a more efficient and adding more value and also reducing the risk of exposition to – on the short term, so this is a job that we are studying and we are strengthening our front of retail. As Wilson has already mentioned, we have created these commercialization directors, departments, and we are structuring them and putting teams there visiting clients and looking for contracts. And we hope that the cycle, as I mentioned that we are going through a low cycle, but – low price cycle, but it is a question of time. This price reacts again, and it's important ones reacting, we have to be positioned in our portfolio, we have to have good kings.
Daniel Travitzky: Thank you. If you could just a second question, just to – if you could comment about the investments in the improvements in transmission and to enjoy the volume – and seize the volume in this segment. So we highlighted in our presentation set of – we had several, I would say, initiatives or demands from ANEEL, from ONS of a set of constructions to improve – of improvements and this was addressed and link and complement each one of these institutions talked about. So it has been prioritized by our in our budget a set of ventures, seven of them R$6 billion in that will bring a reoccurring revenue R$850 million. So this would be done along the three to four years. So the interest to do this as quick as possible, of course. But of course, dealing with the regulatory section as well. So I'd just like to complement that part of this investment, they have revenue previously agreed that they have defined by the tariff situation and so we have a base of assets together with the operation, specifically in our engineering with the Vice President, Varejão and Italo with the financial area, so that everything happens in the most efficient way possible, and then we will retain the maximum value in reinforcing and improvements. Thank you. 
Unidentified Company Representative: Thanks, Daniel. 
Operator: So now we end our Q&A session, and we will give the final words to Wilson, so that he can do the closing.
Wilson Ferreira: So I'd like to thank for the participation to everyone here. I received here in an advice from our Board to try to make this presentation a little bit shorter. So we made an effort because there is a lot to talk about, but we – at least in this quarter, which we spoke for 52 minutes. My idea here is that we reached 35 minutes. So this is our plan so that we have one hour to speak with you. So we extend a little bit, but we had 45 minutes of debate. We have good questions. I'd like to reinforce with you that my optimism related to the company. So it takes months that I'm back and then I find a vigorous company with a Board of focus on strategy, focus on creating the instruments that are suitable for us to advance in our strategy to incentive and encourage the management of the company doing their best responsible, sociable in all ways. So we have a permanent concern from the group. I'm really happy to have here to be with 11 main executives and in the companies without the management constituted in a way that we start gaining some air to breathe in the end of June. So we can share with more detail our strategy. What are our priorities, and what we see in the short, medium and long term, the way that we see creating value to the company. And again, and looking in our report, you have this clarity, concern that the company has to do this in a sustainable manner, respecting the social and the environment all the parts of what we relate to all the stakeholders. It's very important. It's a quarter that brings some elements of what we pursued for a long time. I highlight the reduction of provisions, the reduction of provisions. So you put many people, you should say that the provisions are not reoccurring. If every quarter is reoccurring. So we are inverting this curve and the cost of people of MSO with the work that has been done in the procurement area. We have had the possibility which show our capacity should be efficient together with the workers and also the new group of people to the company focusing on areas that we didn't have a focus so important, what I call people, management and culture. So commercialization, the team of innovation, digital, several instruments that we need to have here so that the company modernizes, automates, and becomes more efficient and looking – permanent look in the sustainable communication. I will say that is a quarter that is – starts in shows the first evidence of what we think is the permanent objective of the managers of the company, Directors, Board of Directors. And I hope that will be to be here in June, and be here to the beginning of August to talk about the second quarter, which I suppose would be even better. So these are my final – my closing, and I hope everyone has a good afternoon.
Operator: Now the conference Eletrobras is closed. Thank you for the participation, and have a good afternoon.